Operator: Ladies and gentlemen, a warm welcome to the HelloFresh SE Q4 and 2022 Full-Year Results. At this time, all participants have been placed on a listen-only mode. The floor will be opened for questions following the presentation. Let me now turn the floor over to your host, Dominik Richter.
Dominik Richter: Good morning, ladies and gentlemen, welcome to our full year 2022 results presentation. In today's call, we will cover both our most recent Q4 results as well [Technical Difficulty] start by discussing some of the longer-term trends that [Technical Difficulty] serving our business and provide some context on how we navigated an extraordinary period in which we saw unprecedented growth wasn't subject to the rapidly changing macroeconomic environment. First of all, we announced our ambition to grow into an integrated food solutions group, which expands on our mission to change the way [indiscernible] forever, which we've been following for the last 10 years. We've embarked on that journey about two years ago when the Factor, all of our revenue came from our core [indiscernible] we have diversified our topline meaningfully and now generate over 10% of our revenue from non-meal kits sales, most notably from our Ready-To-Eat through the acquisition and the subsequent scaling of Factor indices, as well as more broadly investment into the HelloFresh market. While we remain confident in the long-term growth opportunity of meal kit, we have seen that our capabilities are very relevant to other key policies as well and expect to further diversify our revenue mix in future years in order to some known as a fully integrated capacity that we can grow beyond [indiscernible]. The last three years have been nothing short of extraordinary and subjected us to scaling challenges like very few other companies have seen before, with such a physical supply chain in place, meaning that we could buy all the ingredients, we need to pack all the boxes, we need to physically ship to customers rather than scaling [indiscernible]. In 2019 to 2022, we grew net revenues by over 4 times from EUR1.8 billion to EUR7.6 billion with all geographies embarking in a massive scaling plan. We grew the number of meals shipped from 281 million in 2019 to over 1 billion meals in 2022, which also represents a growth of 4 times growth. We managed to do that not only by adding new customers in our existing services and launching in a number of new markets but also increasing the order rate of our customer by about 14% over that 3-year period. So while the average customer ordered about 3.6 times per quarter in 2019, that number rose to an average of 4.1 orders per quarter in 2021.And a lot of this order rate increase has been driven by our relentless pursuit of improving the customer proposition. Most importantly here has been the number of meals and the resulting recipe choice that we added up 71% since 2019, during a time when we also scaled the volumes going through our supply chain by about 4 times. Most importantly, over that extraordinary three year growth period, we not only maintained strong profitability throughout but generated very significant cash flows from operations about EUR1.37 billion. We use the majority of those proceeds to reinvest back into the business to build a robust innovation engine as we remain excited about the long-term growth opportunities. More specifically, we embarked on a significant expansion of our total addressable market and launched HelloFresh into five new markets, mainly, Denmark, Norway, Italy, Spain and Ireland. In addition, we launched EveryPlate, our budget brand in Australia and Green Chef our premium brand into the Netherlands and into the UK market. We also became active in the RTE vertical to key M&A deals by acquiring Factor in late 2020, Youfoodz in late 2021 and then organically launched Factor into Canada in late 2022. All of these newly launched brands first consumed significant adjusted AEBITDA and cash before turning profitable after three years to five years on average. In addition, we invested very meaningfully into building out our future fulfillment networks scaling our fulfillment footprint by about 5 times over that same period. Finally, we also started to return cash to shareholders with our first EUR125 million share buyback since early 2022 offsetting share-based compensation dilution and actually shrinking our share count year-over-year. All of these activities resulted in our customers benefiting from better service levels and greater choice with customers adding on average 11% more meals to every order than in 2019. Cancellation rates also stabilized at record low levels post-pandemic. This has allowed us to pull further away from our direct competitors. In the U.S for example, we increased our meal kit market share by 11 points over that period. It's a similar picture surfaces for our international markets, where we expanded from already very high levels and gained another 9 points market share, making us a very clear winner in the meal kit industry. More recently, we used the strong muscles we developed over the past 11 years to focus on the RTE vertical and scale toward very clear market leadership in that segment as well, improving our U.S. market share by 52 points in direct-to-consumer Ready-To-Eat. Especially Ready-To-Eat has shown that our capabilities are both unique and very repeatable and adjacent directs to continue growth verticals. Both for our meal kit as well as our RTE business, we benefit from a number of strong moats we have built and have grown into the undisputed leader in both categories. For example, our superior fulfillment networks and broad supplier base allow us to ship orders at unit costs that are vastly superior to any of our competitors. Our technology stack is custom built and gives us advantages in every area of the business, the work of 10 years and hundreds of dedicated software engineers and data scientists. The same applies to our D2C growth engine, which we have shown not only works for meal kits but also other food solutions and which gives us a significant advantage against current and potential future competitors while being respectable to new and exciting growth verticals. With that in mind, let me focus on the more recent past, let me share some of the highlights of the full-year 2022 and Q4 2022. First of all, we saw continued strong revenue growth of about 18% to EUR7.6 billion, an increase of EUR1.6 billion in one year alone where as much as we actually made in 2019 in total. Secondly, AOV increased by about 10% for full year 2022 and even more in Q4, showing a 12% year-over-year growth in the most recently completed quarter. Revenue growth was also positively impacted by high customer engagement, including high order rates even beyond a strongly COVID impacted Q4 2021 period, continued low cancellation rates and positive early customer retention indicators. During a year in which macro and ensuing supply chain disruptions took center stage, we managed to expand our contribution margins slightly to 25.5% and more forcefully in Q4 2022 when we returned to about 27% contribution margin. This allowed us to post strong Q4 adjusted AEBITDA margins of 8.5% or EUR160 million in absolute terms and EUR477 million or 6.3% adjusted AEBITDA margin for the whole year. Given the environment of rampant inflation, high energy prices and inflationary wage trends, it's great to see that our investments in talent, processes and technology pay off handsomely. Finally, our multiyear CapEx investment program progressed well. And we have the peak of CapEx deployment behind us. As previously stated, this is an increase of more than 5 times in fulfillment footprint versus 2019. And was entirely funded from internally generated cash while maintaining a strong balance sheet throughout. Let's take a look at meals and orders. In 2022, we continued to grow the number of meals shipped up 8.5% for the full year and about 1% for Q4. This was driven by customers ordering more meals on average, as well as continued strong customer loyalty. Order rates were up another 1% over a strongly COVID-impacted comp in 2021, while active customers came down by about 1.5% in Q4 to 7.1 million. The decrease in active customers was driven mainly by our US segment, which posted very strong profitability at the expense of a slightly shrinking active customer base. Active customers in International remained stable gaining about 1% year-over-year in Q4 2022. Q4 2021 saw large scale downs -- sorry, large-scale lockdowns in Europe and Australia, the beginning of the Omicron wave in the U.S. and most of the population working from home. Against this extraordinary period, it's very encouraging to see that customer behavior stabilized year-on-year in Q4 2022. 2 leading indicators which we show here, which have great predictive power for customer retention are the early customer behavior and the customer cancellation rate. On the left-hand side, we show the cumulative orders to newly acquired customers for the first 10 weeks since acquisition. That's one of our most important internal early retention KPIs, which has great predictive power. You can see that cumulative 10 big orders remained at substantially higher levels in 2022 compared to 2019 but also shows the COVID boost in H2 2021 clearly. And so you see that the dark green line pick up to levels it hasn't been on before. The same trends can actually be observed in customer cancellation rates, the trend line between 2022 and 2019 is very positive and speaks to the great improvements we've made to our products. However, first of all, you can see the unique COVID induced behavior observed in H2 2021, which we have been lapping in 2022. And the key message here, we have materially improved underlying customer health metrics over 2019 benchmarks. We're tracking very closely the heavily COVID impacted periods, all leading indicators, but being back to a more normalized seasonal swings now and also sort of like, as we look towards 2023. AOV developed very successfully over the course of 2022 and has been one of the major growth drivers for us. The increase in AOV has been one of the primary drivers of net revenue growth. AOV increased by about 10% in constant currency for the full-year 2022 to over EUR60 and even more forcefully for the Q4 period at about 12% constant currency year-over-year growth to EUR63. The drivers for that AOV increased for manifold, we saw a positive contribution from customers increasing the number of meals per order. We featured a higher share of surcharge meals on the menu, as we offered greater recipe choice in those we met for great uptake by customers. And we've also had a positive effect from the price adjustments earlier in 2022, which contributed to a higher revenue run rate per box. All of these observations apply to both the US and our international segment, but had a more meaningful impact on the US with additional positive AOV expansion through a higher share of Factor meals, which are typically priced above the price of meal kit. So taking all of these trends together, namely, strong and increasing customer order rates, strongly elevated AOVs and broadly flat customer count throughout H2 2022. This translates to HelloFresh showing year-over-year revenue growth of about 18% for the full year to over EUR7.6 billion in constant currency, which again adding EUR1.6 billion in one year, it's about the same that we did in total revenue in 2019. So Q4 year-over-year revenue growth came in at 11% growing from about EUR1.6 billion per quarter in 2021 to about EUR1.9 billion per quarter in 2022. If we look at the US segment, US constant currency growth amounted to over 15% in Q4 driven by very strong order rates and high AOVs, while actually observing a decline in active customers. On the international segment, growth was more pedestrian at 6% but actually driven by an increase in active customers, stable order rates and a much more measured AOV expansion year-over-year. With that I'll pass over to Christian to walk you through margin expansion and the outlook.
Christian Gartner: Okay. Thank you, Dominik. So warm welcome to everyone of you. You have heard me saying that a few times in the past, so excuse me for being somewhat repetitive. We've done a very good job in 2022 to effectively contained procurement expenses as a percentage of revenue, despite underlying food price inflation of meaningfully north of 10% and our direct competition raising prices actually by up to 20% in certain markets. If you remember, going into 2022, we thought that even after taking mitigating measures, there would be around about 2 percentage points downside risks to margin because of underlying increase in price inflation. Now, we ended up two things this cost has been flat, it's 34 percentage points of revenue. This is where our strength in a data driven manufacturing process, a well-diversified supplier base and overall decent pricing power came through and helped us to protect margins. Now when you look at our fulfillment expenses, you see that also here, we fully delivered the productivity increases the performance last year. For the full year, we have decreased our fulfillment expenses by 0.5 percentage points of revenue to 40.4%. This improvement has meaningfully accelerated throughout the year. In Q4, the improved fulfillment expenses as a percentage of revenue by a whopping 2.6 percentage points year-on-year to 39.1%. Potentially our US business contributed meaningfully to this positive trend as we wrote back COVID related inefficiencies, quickly ramped up fulfillment centers to target productivity and well on track across both segments, increased labor productivity across -- labor productivity across the board, it started to rationalize older, less efficient production capacity. This positive trend in productivity increases and over increasing relative fulfillment expenses is something you should expect to continue in 2022. The result of our strong performance across both procurement and fulfillment is that we've managed to expand contribution margin for the full-year 2022 to 25.5%, despite high inflationary pressure across various cost lines. And in Q4, both contribution margin back to close to 27 percentage points up from Q4 2021. which we've ended the year on a good level from which to drive further year-on-year contribution margin expansion in 2023. Now let's talk about the development of our marketing expenses. In Q4, you have seen broadly a continuation of the trends discussed on our Q3 earnings call by somewhat higher relative marketing expenses, which are circa 2 percentage points of revenue higher than in 2023. These are driven by three effects. One is there was a COVID effect in the comparative period. Secondly, some tech inflation with an overall reasonably soft macro and consumer environment. And then thirdly, the ramp up of new or recent geographies and brands in international and of Factor in the US, which at this early stage in the lifecycle generate higher relative marketing expenses. However, this also in mind that we increased AOV by 12% in Q4 i.e., those sellers we acquired a somewhat higher tech will now generate on average 12% higher AOV on every order they give us compared to the customer acquired a year ago, which means one of our growth marketing expense remained solid. For every dollar we deploy the market, we achieved industry leading overall payback period of about six months. When you put all of this together, you see that we actually somewhat outperformed latest market expectations for AEBITDA in Q4. We delivered a EUR160 million of AEBITDA in Q4, 23% higher than in Q4 of 2021. This brought our AEBITDA for the full year with EUR477 million. Especially our US segment performed well from a profitability perspective, delivering an AEBITDA margin of close to 5% and taking our US Ready-to-Eat business to profitability. Now before we turn to the outlook for the year, let's also have a look at our cash flows and liquidity profile. We generated a solid cash flow from operations of EUR313 million. This compares to a total cash outflow from investments of EUR444 million. That cash outflow for investments primarily consists of three things: One, about EUR480 million of CapEx. 2023, therefore, marks our peak CapEx year. The rest that some of you may remember, represents the first earn-out tranche paid for the [indiscernible] acquisition, which was paid in March 2020. Our free cash flow, cash flow from operations minus CapEx in 2022 was a negative EUR104 million. We expect free cash flow to turn positive again in H2 this year. I want to touch base on this in a bit more detail in a minute. Lastly, please also don't forget that we returned EUR125 million of cash to our shareholders via a share buyback in 2022. This means that our share count has actually decreased. Also in the future, we look for similar opportunities, which will further boost our free cash flow per share over a longer periods of time. Lastly, let me turn to our outlook for 2023 to try to put it into context. In line with broader e-commerce trend envisage relatively modest revenue growth in 2023 of 2% to 10% on a constant currency basis. This is driven by three things: One, of exiting 2022 with a slightly lower active customer number than originally anticipated. Secondly, reasonably tough growth benchmark selective one that a comparative period was impacted by COVID effect in the number of key markets. And thirdly, an expectation of overall consumer environment across our markets will remain somewhat optimistic for most of the year. As a consequence, we expect orders to be broadly stable for the full year and constant currency revenue growth to be primarily driven by continued year-on-year growth in average order value in 2022. From an order perspective, we expect Ready-To-Eat to be the biggest source of order growth in 2022. In 2024 onwards then, we are targeting over order and revenue growth to move more in lockstep again. The top line from AEBITDA perspective we're targeting a moderate increase at the midpoint versus a EUR477 million delivered in 2022. We're targeting a range of EUR460 million to EUR540 million. We're planning to achieve this through number one, modest revenue growth adjusted AEBITDA. And secondly, a continuation of successful contribution margin expansion, primarily driven by efficiencies and productivity increases in our production activities. This is partly offset by temporarily higher marketing expenses as a percentage of revenue. This side on FX, this is absolute AEBITDA guidance is based on the current US dollar/euro rate of $1.07, which is one of 3 percentage points of them and average rate in 2022. Just as a rough rule of thumb at 10% of the US dollar reduces our euro reported AEBITDA by EUR45 million and vice versa. Now please keep in mind that our 2023 guidance implies that we will have grown revenues by more than 4 times consecutively. And adjusted AEBITDA by more than 10 times, while our share price is broadly flat versus the end of 2019. Let's also have a lot what we see as into the trend in 2023 is how they may potentially shape up. While H1 still faces a number of headwinds, we are confident that we can start to show expanding revenue growth, expanding margins and positive free cash flow per share from H2 onwards again i.e., the trough of the contradiction period is closed from our perspective even if the overall consumer environment will not improve near term [indiscernible]. That means for Q1, we expect constant currency value growth in the lower single-digit area compared with a strong Q1 2022, which was subject to lockdowns in Europe and in the US as a result of the Omicron wave. We also expect in Q1 for the active customers to be down mid-single digits year-on-year but meaningfully up substantially versus Q4. AEBITDA in Q1 2023 will be below Q1 2022. Indicatively, we expect circa EUR30 million to EUR40 million of AEBITDA in Q1. This is driven by a front loading of certain marketing activities, which is seasonally attracted our eyes during that period. We expected to benefit AEBITDA growth in Q2 and Q4. In H2, we expect an expansion of all key KPIs been, namely step-up in revenue growth back towards 10% and beyond as there's no COVID effect anymore in the comparative period. Hence, we will open our new Ready-To-Eat production facility in Arizona, which will allow further growth from current capacity console level. Also, our new Ready-To-Eat facility in Australia has just been launched and can be ramped up from Q2 onwards. Secondly, we expect a year expansion of our adjusted AEBITDA margin and therefore, also higher absolute adjusted AEBITDA in H2 driven by: one, continued progress on fulfillment efficiencies; secondly, further AOV expansion at [indiscernible] and then thirdly, no headwinds from G&A ramp-up run rate effect anymore. And then thirdly, and importantly, we are planning to deliver positive and growing free cash flow per share gain from H2 onwards. Now on that last point, I would like to drill a bit deeper into our CapEx development and outlook in the last very slide here. 2022 marks our [indiscernible]. So we ended up spending somewhat less than the $450 million to $500 million initially envisaged. This is driven by the fact that we deferred or shelved some discretionary capacity expansion projects in the overall economic environment. Irrespectively, by now, we are at the back end of our multiyear capacity expansion program, which we are fully funded from internally generated operating cash flow. In H1 2023, this meaningful CapEx for the completion of the project, such as the US Factor facility, as I've mentioned, or our model efficiency facility in both Germany and the UK. By H2, these products will substantially progress and we see CapEx as a percentage of revenue has stepped down. From 2024 onwards, CapEx will further come down getting towards that by 2025, with the 2.5% of revenue we've have discussed previously. At that point, CapEx will primarily comprise due to optimization project, automation and selected high conviction both investments into areas such as Ready-To-Eat in Europe. So with that, we look forward to your questions.
Operator: [Operator Instructions] And the first question comes from Joe Barnet-Lamb, Credit Suisse. Please go ahead.
Joseph Barnet-Lamb: Excellent. Thank you. My first question is just relating to the CAC profile of the Group. Obviously CACs arising in the post-COVID era, you obviously explained about the higher LTV dynamic as well. But could you just talk about the trending CAC? Are they still rising? Or have they now plateaued? And if you could talk a little bit about the CACs across the two divisions for 4Q and into 2023? Thank you.
Christian Gartner: Hey, it's Christian here. So on the CAC profile effectively what we have seen towards the back end of last year certain step up. As we discussed on our Q3 call already and that continued into Q4 and effectively what we've seen so far in Q1 is that CACs are holding up at around that level. And that trend is relatively similar across our two segments.
Joseph Barnet-Lamb: Excellent. Thank you very much.
Operator: The next question comes from Andrew Gwynn, BNP. Please go ahead.
Andrew Gwynn: Yeah, good morning team. On the -- suggesting this morning, the Group is prioritizing earnings over top line. So I was just wondering, firstly is that the right interpretation? It's little bit surprising to be honest, so just help us understand the reason for that. Thank you very much.
Dominik Richter: Hey, Andrew. So I think our investment framework is always very much ROI based, right. So we see, where can we invest a dollar most profitably over a certain investment period. I think what happens in time where volatility is higher in time where uncertainty around your margin profile, around CAC levels et cetera is higher, you obviously try to look at shorter time horizons for investment decisions. And so that definitely means that we're over the last probably six months to nine months have re-evaluated like some of the investment frameworks that we have. And on balance, I think we want to make sure we protect our margins, but sort of like our long-term investment framework always remains ROI driven. And if somebody misunderstood that then I apologize, it's just that I think the big difference is that in times where different metrics are subject to higher volatility, we typically try to shorten the investment horizon and not basically give as much value to future behavior of either customers for margin expansion et cetera when you make those investment decisions. But I think that's just a normal ROI driven investment behavior.
Andrew Gwynn: Indeed, and makes sense obviously a higher cost of capital. The 10 billion 2025 ambition, is that still intact. I mean obviously that's the obvious follow-on question. Thank you.
Christian Gartner: Andrew it's Christian. So yes, that those mid-term target defense, when you think about that implies effectively for touch above a 10% CAGR for both 2024 and 2025 for us, which we're comfortable with.
Andrew Gwynn: Okay, great. Thank you very much.
Operator: The next question comes from Adrien de Saint Hilaire, Bank of America.
Adrien de Saint Hilaire: Yeah, good morning everyone. Hopefully you can hear me okay. So a couple of questions from me please. So I'm not quite sure I understand why customer numbers are coming below expectations when marketing spending is actually running higher. So if you could just maybe help us clarify that point again. Then on the Q1 AEBITDA guidance EUR30 million to EUR40 million again, I'm not quite sure I understood why it would be down versus the Q4 trend of like EUR160 million despite customer numbers really growing. And then recently, you announced the exit of Japan. I'm just wondering if there are any other geographies, perhaps that you have in mind that you could potentially rationalize. Thank you.
Christian Gartner: Adrien it's Christian here. So let me try to take that in order. And so on the first point, customer numbers, your comments on customer numbers, from what hear, I think where we came out in Q4 frankly is pretty bang on what we saw in terms of expectation for buy side when you look at the most recent one. So from our perspective is more in line with the potentially a different perspective. On AEBITDA in Q1, and so if wasn't precise on the quarter now, we have front loaded certain of our marketing activities. Q1, as you know, is a very decent period for us to achieve high ROI on these marketing activities. However, that is basically up front, so to speak, and then we see the payback in increasing AEBITDA over the subsequent quarter from there. So this will impact positively AEBITDA growth in Q2 to Q4, but you will see the effect of certain proposed investments in Q1, and that's reflected in my comments on our Q1 AEBITDA. Now on our Japan exit, this is in line with what Dominik had referred to in terms of us being ROI driven organization and being disciplined with how we spend capital. So when we look at our growth targets, we look obviously at the portfolio of our brands and end markets. And secondly, and then focus on the bonds, where from a risk weighted perspective, we see the highest our ROI, but then also our Ready-To-Eat did not push through on areas which don't need towards the risk weighted ROI hurdle and that's why we even say make that addition with respect to Japan.
Adrien de Saint Hilaire: Okay. Thank you. And just one clarification as well on the customer numbers for Q1. Did you say down mid-single digits versus Q1 last year but up meaningfully from Q4, so about EUR8 million for Q1, is that the right number?
Christian Gartner: Correct.
Adrien de Saint Hilaire: Thank you.
Operator: So dear questioners, just one quick remark before the next questioner is up, please limit your question to one per person. Thanks very much. So the next questioner is Luke Holbrook, Morgan Stanley. Please go ahead.
Luke Holbrook: Yeah, good morning everyone. Just a question really on your guidance for revenue this year. Am I right in assuming that, that 2% growth at the bottom end of your guidance is effectively assuming flat volumes because it looks like you're carrying through a couple of percentage points benefits from pricing from 2022 to 2023. And is that right to read at the top end of your guidance is almost mid-single-digit price increases, is that the right way of reading it? Thank you.
Christian Gartner: Yeah, look it's Christian here. So what do you see on average order value, that basically the positive trends that you've seen from us in 2022 that have been continued to also carry through. And that's by itself has a certain positive impact on our revenue growth on a constant currency basis this year. And then yes, when you look at the bottom end of our guidance, this would not assume positive order growth in 2022.
Luke Holbrook: Okay, thanks. So that's just to clarify, so the way flat volumes at the bottom end and is price increases driving the top end, that's the right way of reading it.
Dominik Richter: Not necessarily price increases at the top end. I would say from AOV perspective both book and look relatively similar in terms of AOV contribution or AOV growth contribution to that overall revenue growth. And then variable is the underlying order growth, which is the difference between lower end and upper end.
Luke Holbrook: Perfect. Thank you.
Operator: The next question comes from Clement Genelot, Bryan Garnier & Co.
Clement Genelot: Yes, thanks. Maybe just around customer base along the US, just to really elaborate a little bit more, is it driven by the more order customers and maybe as the declining trend really eased, but the inflation that's kicked in the US. Thank you.
Dominik Richter: On the US customer numbers, I think what we saw in the second half of the year is that existing customer behavior held up really well. So existing customer behavior as I've shown before, some of the early leading indicators like 10 cumulative orders or the cancellation rate, I think with a massive improvement over 2019, and that applies to both international and the US, but definitely US active customers have been subject to that development. What we did see in H2 2022 in the US, is that customer acquisition cost came up quite a bit and so much lower customer acquisition costs than our RTE Factor vertical. So we actually allocated a lot more of our marketing than towards Factor rather than HelloFresh. And that, I think, has been driving up RTE customers, driving down slightly our meal kit customers. But in the meal kit business, obviously, with very, very strong profitability. And if you look at revenue growth, it was also higher in the US than in international, not driven by active customers but actually by AOVs and the overall margin profile that we have achieved in the US. We felt this was the best ROI that we can get on the incremental investment dollar and what we evaluate where we actually see that's ROI on our incremental advertising dollars. And we did see that in RTE and also more in Europe than in the US in the second half of last year.
Operator: So the next question comes from Nizla Naizer, Deutsche Bank.
Nizla Naizer: Great. Thanks. I would just like a bit more color on the sequential decline of the customers in Q4. Was that something that you could have avoided maybe with stepping up your marketing expenses? Or is that sort of an indication of maybe the tough macro? Some color there would be great. And I guess, linked to that, based on the customer additions you are seeing thus far in Q1 within the wide revenue range that you've given us, is it too early to say sort of where you can end the year given, I guess, how important Q1 is to set the stage for the rest of the year? Some color there would be great. Thank you.
Christian Gartner: Hey, Nizla, it's Christian here. So on a sequential customer development in Q4. Again, we expect our target for our growth marketing expense average, which remember what we have discussed in the past. So we are happy to deploy both marketing spend if we can reach on a payback of about six month and then 1.5 to 2 times our initial investment where we see that opportunity. We are deploying a trend, but only up to that level. And what you've seen from us in terms of the marketing invest in Q4 effectively reflected how we size that opportunity in Q4. So to your question, yes, in theory, we could have spent more marketing and then that would have brought in more customers, but it would not have met or it would have not met or criteria that I just out laid. With respect to the breadth of the range that you alluded to on your question of the breadth of the range of our 2023 guidance, we think this is appropriate given over reasonably uncertain macro environment on, that's why we went with that -- with those [indiscernible]
Nizla Naizer: Great. Thanks.
Operator: The next question comes from Marcus Diebel, JPM.
Marcus Diebel: Yeah, hi, everyone. Sorry, I have one more question on the Q4 for customers. Just wanted to question the visibility that you really have, because on the Q3 call, Christian he was talking about lower to mid-single digit growth in customers, now they come in slightly lower. Yeah, could you then maybe tell us a little bit more about what has changed between October and now in terms of like you're driving the business and allocating marketing spend just on Q4. And now on Q1, 8 million customers could you give us also the marketing number broadly for Q1, until we put the 8 million into perspective. Thank you.
Christian Gartner: Marcus, yeah. So obviously the indicative guidance that I've given you end of October early November, that there were two or three months ago and effectively those months trip up as adjusted by in Nizla's question. That's why we overall ended up with a Q4 active customer number a touch below what we had originally targeted for that quarter. Now for Q1, yes, year-on-year it's roundabout 8 million active customers. We see slightly down versus Q1 2022, which again has a COVID tailwind too in some of our biggest market. Nevertheless from a sequential perspective and that's obviously, but we need to look at when you try to put our marketing spend into perspective this is quite a step up versus the [indiscernible]
Marcus Diebel: Thank you. Perfect.
Operator: The next question comes from Nick Coulter, Citi.
Nick Coulter: Hi, good morning. I have a few, but to respect the one question rule, could you reassure us on the building blocks or bridge to the 10% margin target for FY 2025, please? I guess it's a slightly more aggressive profile than perhaps we're envisaging previously. Thank you.
Christian Gartner: Yeah. Nick, it's Christian here. And actually, I want to take the opportunity of our Capital Markets Day in a couple of weeks to also go through that if you can give more detail. But from a high level, without trying to see too much color of we put down in one or two weeks from now, effectively off those four points expansion versus current levels. You see confidence that from a contribution margin perspective, there is more than 2 points of expense that we can have it. And then from a marketing perspective, which again is at higher levels versus where we see ourself in the midterm, there's also 1.5 points to 2 points that we certainly as potential. Again, very much looking forward to go through that in more detail in a couple of days.
Nick Coulter: Okay. And assuming on a flat gross margin profile, you do not expect to see any more pressure there?
Christian Gartner: We -- so from an ingredient price inflation, we -- there's still some inflation out there. So inflation is not top to zero, but certainly in terms of it less than the same point last year. On a -- the biggest, let's say, headwinds we've got behind that, and that's also that mid-term planning is based on.
Nick Coulter: Thank you. Thanks so much.
Operator: Okay. Thank you. As there are no further questions, I'd like to hand back to the speakers for some closing remarks.
Dominik Richter: Thanks for attending our full year 2022 results. Lots of questions for Christian today, very few for me. I look forward to sharing more about the strategic update we see the company grow until 2025 and beyond during our Capital Markets Day in a couple of weeks in Berlin. I think so then it's good to remind ourselves that we've gone through an immense growth period over the last few years. There's a transition period that started in the second half of the year, where we definitely see a lot of things with slightly different eyes, but with very clear sights towards returning to strong growth and strong margin development and with our long-term growth targets in fact. So looking forward to sharing more details on that over the course of our Capital Markets Day in 2023. Thank you.